Operator: Hello, and thank you for standing by. My name is Regina and I will be your conference operator today. At this time, I’d like to welcome to First Commonwealth Financial Corporation First Quarter 2025 Earnings Release Conference Call. [Operator Instructions] I’d now like to turn the conference over to Ryan Thomas, Vice President of Finance and Investor Relations. Please go ahead.
Ryan Thomas: Thank you, Regina, and good afternoon, everyone. Thanks for joining us today to discuss First Commonwealth Financial Corporation’s first quarter financial results. Participating on today’s call will be Mike Price, President and CEO; Jim Reske, Chief Financial Officer; Jane Grebenc, Bank President and Chief Revenue Officer, Brian Sohocki, Chief Credit Officer and Mike McCuen, Chief Lending Officer. As a reminder, a copy of yesterday’s earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page. We’ve also included a slide presentation on our Investor Relations website with supplemental information that will be referenced during today’s call. Before we begin, I need to caution listeners that this call will contain forward-looking statements. Please refer to our forward-looking statements disclaimer on Page 3 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statement. Today’s call will also include non-GAAP financial measures. Non-GAAP financial measures should be viewed in addition to and not as an alternative or are reported results prepared in accordance with GAAP. A reconciliation of these measures can be found in the appendix of today’s slide presentation. With that, I will turn the call over to Mike.
Mike Price: Hey. Thank you, Ryan, and good afternoon everyone. First Commonwealth met consensus estimates with $0.32 of core earnings per share in the first quarter of 2025. Our return on assets of 1.14% in the first quarter was down from 1.23% in the fourth quarter as expenses rose and fee income fell. Loans grew at an annualized rate of 4.4% or $99 million in total. Commercial loans accounted for $63 million or 64% of the overall quarterly increase. Equipment finance and indirect auto lending both contributed meaningfully. The pipeline and growth momentum continue into April. Net interest margin at 3.62% rose 8 basis points with good fundamentals deposit costs fell to 1.99%. Interestingly, deposit costs continue their downward march even as we grew deposits at an annualized rate of 7.7% using end of period figures. As a team, we have remained focused on improving our liquidity as our loan to deposit ratio has decreased from 97% to 92% over the last two years. And as Jim will further describe, the NIM should benefit from macro swaps that are coming off throughout the remainder of 2025. Credit is expected to continue to improve, assuming stable economic conditions. Key trends are good, including NPLs, Watch OAEM substandard and criticized categories, all of which peaked in the second or third quarter of last year, that they've fallen as we've resolved problem credits throughout the last two quarters. The team continues to closely watch the financial health of consumers, which comprise roughly 68% to 70% of U.S. GDP and about 40% of our lending business. At this time, the First Commonwealth consumers appear to be in good shape. The tariff uncertainty and the prospect of a resurgence of inflation have royal financial markets over the last several weeks. Importantly, the return of inflation would also further weaken consumers and business households. Fee income was down $1.5 million in the first quarter of 2025. We are encouraged that the $3.5 million hit each quarter to interchange income due to the Durbin amendment after crossing $10 billion in total assets has largely been absorbed by good momentum with other fee businesses, namely service charges, gain on sale businesses, trust, insurance brokerage and swap income. Our efficiency ratio rose to 59.08%, up from 56.07% in the fourth quarter. Expenses increased $2.1 million to $71.1 million in the first quarter. Salaries and wages were primary cause and more specifically, incentive compensation. Total FTE has also drifted upward as we continue to invest in our regional banking teams alongside our equipment finance group. We view these investments as critical components of becoming the best bank for business. CenterBank will legally close at the end of April and could provide a boost to efficiency and margin. We picked up some good talent and are genuinely excited about the strategic fit that CenterBank brings to a market that is already well led and ripe for growth. The Board of Directors approved a dividend increase of $0.01 [ph] per share, consistent with prior years bringing our dividend yield and payout ratio to approximately 3.5% and 40%, respectively. The announcement of tariffs on almost every country has led to uncertainty and the concern that a trade war, if sustained, could lead to disruptions of global supply chains, renewed inflation and an economic slowdown. We saw initial signs of this strain with the preliminary GDP figures this morning. Our bankers have actively reached out the clients over the last several months to gauge the impact of tariffs on their businesses and identify early signs of stress. Generally, our clients have been less phased by the administration's actions than we might have initially expected. On balance, while most commercial clients would prefer a more tailored approach, many believe that tariffs may ultimately benefit their businesses. For example, the steel sector has been a vocal supporter of the tariffs and believes they are necessary to remain competitive. On the flip side, other sectors have expressed concern over the tariffs. These include polymers, manufacturing, aluminum, coal production and chemical, a positive reflection is that many businesses have taken steps to secure supply chains and can pass on increased costs through price escalators because of their experience gained during the pandemic. Although tariff uncertainty could create loan growth headwinds, our pipelines remain strong, and we have not identified any specific credit impacts yet. On the regional lending front, our Northern Ohio, Pittsburgh, Central Ohio, Cincinnati and Community PA markets are off the terrific starts. An interesting aside, the country's largest natural gas power plant alongside an AI data center is being constructed in Indiana County, our home country in Western Pennsylvania at 4.5 gigawatts, the plant could power Manhattan and is expected to cost more than $10 billion, and this is from a Wall Street Journal article on April 2. These types of projects are springing up throughout our markets, not all $10 billion, but they're creating jobs and revitalizing economies. Good sign and good for our home county. Anyway, with that, I'll turn it off -- turn it over to Jim.
James Reske: Great. Thank you, Mike. Mike already mentioned the expansion of our NIM, so let me start there. Our previous guidance was for NIM to be relatively flat in Q1, followed by expansion in the remaining three quarters of 2025. So we are quite pleased to see 8 basis points of expansion last quarter. We had thought that the need to grow deposits to fund our loan growth with hinder our ability to bring deposit costs down, but that wasn't the case. Deposit costs fell by 8 basis points even as we grew deposits. On the asset side of the balance sheet, fourth quarter Fed rate cuts continue to be felt in the first quarter in our variable rate loan portfolio. But that was blunted somewhat by the fact that new loans are coming on at the low 7s, where loans that ran off were in the high 6s, that's why our loan yield was only down 5 basis points last quarter. By contrast, the yield on the securities portfolio was up 15 basis points partly as a result of a small securities restructuring we did in January using the gains from the sale of our remaining [ph] Visa stock as we had previously disclosed. Purchase accounting marks from the Centric acquisition added 5 basis points to the NIM in the first quarter, unchanged from last quarter. We expect that will continue to fade by about 1 basis point per quarter. In terms of forward NIM guidance, our new baseline forecast contemplates 3 Fed rate cuts, up from 2 in last quarter's forecast and in that scenario, we'd expect our NIM to expand to the high 370s by the end of the year, give or take a few basis points as always. If there are no cut at all, we'd expect the NIM to expand another 10 basis points from theirs in the high 380s by the end of the year, and that gives you a sense of the impact of the rate cut. About 7 basis points of the NIM expansion that we expect comes from the expiration of macro swaps with $150 million expiring tomorrow, an additional $25 million expiring in the third quarter, $75 million in the fourth quarter of this year; and then finally, an additional $175 million expiring in 2026. Moving on to loan growth. Our previous guidance for mid-single-digit loan growth remains unchanged. Now to fee income. Fee income was down from last quarter by $2.6 million. We had about $1.4 million of unusual gains last quarter, along with a decline of about $600,000 in the first quarter related to the fewer number of days in the quarter, which we expected. So that combination of $2 million -- that swing $2 million was fully expected. More fundamentally, our SBA gain on sale income was down by about $1 million from last quarter, offset somewhat by a $500,000 increase in our insurance and wealth income. Our fee income of $22.5 million actually came in right in the middle of our previous guidance of $22 million to $23 million for the quarter. We expect that second quarter fee income should be roughly -- should be better than the first quarter, about $1 million better than the first quarter or roughly $23 million to $24 million, growing another $1 million in the third quarter and then coming down by about $1 million in the fourth quarter, which we attribute to seasonality in fee businesses like mortgage. Expenses increased by $2.1 million over last quarter and at $71.1 million were well in excess of our previous guidance of $60 million to $69 million for the quarter. As disclosed in our earnings release, first quarter results included about $1.5 million in expense for finalizing incentive payments related to the prior year. We also had a $700,000 increase in snow removal costs, which were higher than expected. Salary expense was up slightly more than expected on higher headcount. Taking all of this into account, we believe that including the pending acquisition of CenterBank, which closes today, non-interest expense should be in the $71 million to $73 million range for the rest of the year. Capital ratios benefited from a reduction in AOCI from $102 million to $81.2 million as well as retained earnings. Our tangible book value per share grew 16.3% annualized from the previous quarter and 7% annualized even without the AOCI. There was no buyback activity in the first quarter, pending the closing of the CenterBank acquisition, and we have $6.7 million of remaining capacity under our previously authorized buyback program. And with that, we'll take any questions you may have.
Operator: [Operator Instructions] We'll take our first question from the line of Daniel Tamayo with Raymond James. Please go ahead.
Daniel Tamayo: Hey good afternoon guys, how are you?
Mike Price: Good.
Daniel Tamayo: I guess, first on the loan growth guidance. It sounds like things are still kind of moving in the right direction. I mean, even more than that, it was a good quarter. Gearing in, I guess, specifically on the Equipment Finance portfolio. Just curious the momentum that you've been seeing there, if you think that continues from here? And if we did go into some kind of slowdown. Just curious how you think that portfolio would react from a growth and also from a credit perspective?
Mike Price: So far, so good on credit. We might have seen some pull-through just because of the anticipation of tariffs and perhaps that has increased the volume in the first 3 to 4 months of the year, we'll see. But we're seeing pretty healthy application volume now well into April. And actually, I have Mike McCuen on the phone, who is our Chief Lending Officer. Mike, what would you add?
Mike McCuen: I would just add that part of the investment you referenced, Mike, was additional talent in the Equipment Finance Group, and we've also benefited a little bit some of the larger foreign-owned finance teams groups have pulled back from the market. And so that's probably helped us a bit, too. But we've not seen a let up yet in the application growth. It's still pretty strong.
Mike Price: Is that helpful, Dan?
Daniel Tamayo: It is, Mike. Thanks, yes. Maybe on a similar vein, but just different book, the commercial books, the CRE as well as the traditional commercial. Just curious if you gave some color on borrower sentiment in your comments, but just curious if you had anything else in terms of what you're seeing from them in terms of pull-through rates and how they're reacting to the whole uncertainty in Washington and tariffs and everything else? And kind of your expectation for near term versus back half, if there's a difference in terms of where loan growth could land?
Mike Price: Yes. I'll hand it off to Mike, but I would say we have seen some pull-through there on equipment. We're seeing commercial real estate more active than it certainly was this time last year and so the pipeline there is pretty good. The construction book in commercial real estate is starting to build. I mean we've been very intentional about wanting to grow the C&I book, and we feel like we're starting to have some success there with even larger credits and we've built out our talent in the regional teams with 2 new presidents within the last 12 months or so and probably at least half a dozen to a dozen additional lenders, PM professionals. So that feels really good. Mike, what would you add?
Mike McCuen: Yes, I would just add that really the momentum started to feel good in the fourth quarter, the mood swing, the pipelines we're building. So we're benefiting from activity that was generated in the fourth quarter, but we haven't seen a let up, the real estate developers have a little bit better view on costs, rates were slightly down. And so some projects that were deferred are now being put in place. These are long-time customers of ours in our markets that we know extremely well. So that part of it, we feel pretty good about. And again, I think the mood hasn't totally changed on the future, but our eyes are wide open based on these -- what happens with the tariffs and so forth. But I haven't seen a lot of yet. So I feel pretty good.
Mike Price: Dan, the only thing I would add that we didn't mention is just Jane Grebenc, Mike and I are out on a number of calls. And we just thought customers seem to be way ahead of us. In terms of their supply chain, perhaps if they're getting tungsten from China or this product from Europe, they've already thought of how to deflect it to another country or to a domestic supplier, and I think a lot of that came from the challenges that came with COVID. So even if it was a smaller family-owned business, they almost -- it's not that they anticipated it or wouldn't hurt but they just seem to be dealing with it in the normal course despite the headlines of the last month.
Daniel Tamayo: That's great color, Mike. Thanks for that. And maybe just a last one here on deposits. It looks like the growth in the quarter is really driven by the savings segment there. Curious if there was anything unusual happening there, if you guys had -- just any color on that? And what kind of rates that -- the kind of new rates on the savings deposits that you're seeing?
Mike Price: Yes. I mean I'll turn it to Jim and Jane, but it just seems like we've given up a little on the beta because we want to keep growing deposits. And if you remember in the last cycle, we use the beta in the later stages to drive down our deposit costs. And we just haven't gotten there yet. We still want to grow deposits and be more liquid so we've probably given up a little bit on rate and could have taken our deposit costs down a little quicker. It's also just a culture of deposit gathering where that's a big part of the goals and incentives of everybody from a branch manager to a corporate banker, Jane or Jim, what would you add?
James Reske: Jane, go ahead.
Jane Grebenc: I would guess that much of the growth that you're seeing in savings is almost a subsidiary product to CDs. As we've been bringing down the rates on CDs, customers aren't taking the money out of the bank but they might be parking it in some money markets while they wait and see what happens here. So I think we still have much of it in the house, but we're -- it's moving around a little bit.
Daniel Tamayo: All right. That makes sense. Thanks, Jane thanks Mike. Appreciate the color today.
Operator: Our next question comes from the line of Frank Schiraldi with Piper Sandler. Please go ahead.
Frank Schiraldi: Hey good afternoon. Just in terms of -- Jim, just in terms of the NIM guide, can you share what that assumes for -- do you anticipate deposit costs move lower from here without additional rate cuts? Or is that continued kind of steady state given that you expect or trying to grow the deposit book?
James Reske: Yes. Thanks, Frank, for asking because we talked about this on last quarter's call. So I appreciate the question that gives me a chance to clarify a little bit. Last quarter, we talked about how we took a very conservative line with our ability to drop deposits because we thought really, really not grow deposits. We want to keep a loan-to-deposit ratio where it is in the low 90s. We want to fund that growth with the deposits. So Mike just painted at this a moment ago, kind of pricing strategies are following that. So last quarter on the call, we were saying we're not assuming rates are going to fall and deposits and will be hold in the first quarter, we were able to lower deposit cost by 8 basis points, which is great. Looking for their forecast for the rest of the year, that -- I just -- I could reiterate the guidance for the first quarter, we're not an ability to drop the deposit rates. In other words, if I look at the $199 of the total cost of deposits right now, the assumption is that holds fairly steady by the end of the year. So when I say our NIM can get to the high 370s that doesn't assume an ability to do it by dropping deposit costs. And to go drop deposit costs, it could be even better than that. There'll be upside of that. Maybe I would just add one more thought to that. Some of those assumptions are deposit costs when we're looking at their historical betas and ability to draw deposits and gthe need to fund it. We're done before we saw a lot of competitors dropping rates and what we've seen in our local market, what we see when we look at the peer reports for the quarter, this quarter as last quarter, everybody is dropping the rates. And that's part of our story, too, in the first quarter, and Jane was alluding to it a moment ago and CD make sure money markets mature, we're able to present the customers with lower rates than they had and people are staying. So we have done well to keep all the maturities short and that rollover process is benefiting us, just like everybody else, and so that assumption of not taking deposit rates down is probably very conservative. But to the extent it's conservative and we're able to do better then that it just gives us a little more upside to that NIM forecast. Hopefully that's enough.
Frank Schiraldi: Yes, that's great. But just on that, just -- does that NIM guidance you gave or outlook that includes the center deal?
James Reske: Yes, that includes center deal. And I tell you we're working on the marks of the center deal right now. We are closing. We're going to get final numbers from them and then do the final work with a third party to do the marks. It's just not that significant to move the needle that much. It might be one or two basis points of that NIM forecast, but it's just not going to be that it's helpful. It's additive and overall look, we're very excited about the acquisition for lots of fundamental reasons, but in terms of the NIM guidance, it's not that big enough to move the needle that much.
Frank Schiraldi: Okay. And then just lastly on buybacks. Obviously, now that you've got the deal closed, could change things. And so just curious your appetite or just thoughts given the pullback in shares on the use of buybacks as capital return here and any thoughts I guess, around sizing that as well? Thanks.
James Reske: Yes. So I was watching the stock prices in the 14s. We thought this would be a great opportunity, but we're out of the market and now back up and we're going to come out of blackout here in a little bit and have opportunity. But so our capital priorities haven't changed. We want to make sure we can capitalize growth and loan port organic growth. That's become the first priority. Increase the dividend steady rate, which we did this year again and then look for these buybacks. We return capital to shareholders. We generated excess capital after the dividend of $20 million last quarter plus another 20 million of a OCI which you can't count on every quarter. But there's plenty of capital generation. So we have not made any official decision to turn on the buyback, but we would look at all those factors in the second quarter to see if it's appropriate to do so.
Frank Schiraldi: Okay. All right. I appreciate the color. Thank you.
James Reske: Thank you.
Operator: Our next question comes from the line of Karl Shepard with RBC Capital Markets. Please go ahead.
Karl Shepard: Hey good afternoon guys.
James Reske: Good afternoon.
Karl Shepard: Jim, just to pick at the deposit cost guidance one more time. I just want to get it straight. The high 370s assumes a couple of cuts and you're saying stable deposit costs even in buckets like savings or interest-bearing demand in that scenario. That seems very conservative to me. So that's what I just want to make sure it's not pricing or go ahead.
James Reske: It is, it is. And so look, the whole bank we're doing a reforecast exercise actually this month for the rest of the year. So that guidance might change for the next quarter. There's a couple of things going on. I think the macro swaps alone get you halfway there to the NIM guidance. The rest of it is coming from positive replacement yields even in a falling rate environment. So yes, I agree with you. I think that assumption on the deposit cost might be conservative. You started to get on this avenue of the different categories. There's obviously mix shifts going on within these categories. So I'm not -- we're not saying that it's stable in every category across the board, but that's the aggregate cost of deposits, which includes time and just bearing staying stable. So when we visit that assumption here and update guidance as the year goes on.
Karl Shepard: Okay. Sorry to pick at it. I know it's not the easiest thing to forecast and you do your best every quarter.
James Reske: Yes, I anticipate the question. So thank you very much, Karl.
Karl Shepard: Kind of moving over to expenses. The FTEs kind of ticked up a little bit over the course of the quarter, I guess, is there any more plan for the rest of the year? And then just anything else going on besides stripping out the incentive comp from last quarter and adding back center that you want to flag for us?
Mike Price: Yes, the FTE is really an investment in probably half of it on the commercial side of the bank, and pretty pleased with the prospects of return there. I think part of it is also just filling vacancies in our Financial Solutions network and we're also going to look closely at costs here in the second quarter. It feels like the run rate is a little higher than it should be, and we'll probably be back to you perhaps in the next quarter or so with some opportunities there. Jim, what do you want to add?
James Reske: No, just we're happy to be able to pick up talent where we can. We were able to do that in some select pockets in the commercial bank. So that's a good addition to FTE. We've had some measures as well to make sure that our turnover rate is under control in our branch network and the people like to work here and stay here. So that helps the FTE count as well. That affects the FTE account as well.
Karl Shepard: Okay, thank you.
James Reske: Thank you.
Operator: Our next question comes from the line of Kelly Motta with KBW. Please go ahead.
Kelly Motta: Hi, good afternoon. Thanks for the question and congrats on getting the deal to close so quickly. Following up on the expense question, framing it in another way. You talked about the new talent you've hired to new presidents and treasury management, wondering, acknowledging that you are paying close attention to expenses. If there's any other areas where you think you might be opportunistic with adding talent?
Mike Price: With adding talent. I think we added to and bolstered our equipment finance group and our commercial banking teams, not at the time. I think that we're pretty pleased with our fee businesses, our gain on sale businesses, the staffing we have there in wealth management and they're contributing nicely. Mortgage is probably up year-over-year in terms of originations and volume, they're probably not at that point or inflection point where you would consider adding to some of the consumer lending businesses. So I think we're pretty good. We're going to be off-site on Monday and we're going to talk about getting better processes and how we improve the flow through our bank in our operations areas and we will become more efficient than we were this quarter.
Kelly Motta: Got it. That's helpful. And then on the SBA front, those gain -- that gain on sale came in a bit this quarter. We've seen that at a couple of other banks. Wondering if you could share the drivers of that if it was just a pipeline there or gain on sale margins and your outlook for this business is more of a normalized level, or would you anticipate this quarter to be a good run rate in the near term?
Mike Price: We're a little perplexed by that. The SBA was going along pretty well. I think perhaps the just the longevity of higher rates now on those borrowers that have just slightly more leveraged perhaps as part of the answer. I guess I'll turn it over to Mike for Jane, who are closer to the business, your thoughts.
Mike McCuen: Yes, sure, go ahead.
Jane Grebenc: Yes, so a couple of things. We think that SBA gain on sale will be a bit frothier as the year progresses, because of pipeline and the mix of deals that are in there, there's some construction, there are some construction deals in there that need to close before we can do anything with them. And we've got some larger projects in there that are just taking a bit longer to complete but it's not a question of margin. The gain on sale margin is right around where we expected it to be so far.
Kelly Motta: Got it. That's helpful. Maybe last question for me on the expense guidance. Just want to clarify if that includes the impact of the run rate of the acquisition and the timing of the conversion on that?
James Reske: Yes. Yes, it does.
Mike Price: Conversion is slated for the first week ended June.
James Reske: Yes, Kelly. And actually, we gave some of that guidance on last quarter's call. I think you all reflected it. I saw it reflected on the consensus pretty well for the expense run rate.
Kelly Motta: Great. Thank you so much, I will step back.
James Reske: Thanks, Kelly.
Operator: Our next question comes from the line of Matthew Breese with Stephens. Please go ahead.
Matthew Breese: Hey good afternoon. Sorry to beat a dead horse here, but the NIM outlook just sounds really robust. And Jim, I was hoping you could maybe extend that outlook a little bit, granted more factors when we get into 2026. But is the outlook for the NIM into 2026 still kind of up until the right?
James Reske: Well, it depends a little bit on the forecast in the flat rate forecast, which we do kind of bracket. What if there are no rate cuts at all? It just stays where it is. Yes, it's great in 2026, it keeps going. So it gets to 380 and stays in the 380s and it actually hovers through the 380s in 2026, but ends 2026 in the high 380s. If we have this baseline forecast, we have the three cuts, then it stays in the right around 380 because the 379 stays around 380 next year. So it depends on that but it's a good. Thanks for the question. It's a good opportunity to say there are other assumptions in there as well. There's no recession forecasts in that. So part of the assumption in all these forecasts is that we're able to continue to grow loans, continue to put on new loans at the rates that we assume that we will put them on and that will replace the runoff that we assume they're going to have the lower rate loans. So you get the nice benefit of that pickup and replacement yield so, but there's not, there's no contemplative slowdown in any of that. So there are other assumptions in there that affect the number.
Mike Price: There is…
Matthew Breese: Go ahead, Mike.
Mike Price: Yes. Just let me use for a moment. I mean, if rates come down quicker than that, we're pretty broad-based in our offerings with consumer products, which are on the sidelines, particularly consumer lending out of our branches, a good mortgage capability that we haven't dismantled. And those businesses could really turn on in an environment like that. And I think our mortgage business made $10-plus million a year for us. So it's just -- I think we're hedged that if rates go down and certain kinds of businesses pick up, we just don't feel like it would be a train rack. In fact, we think if rates went down a little bit and the yield curve was upward sloping and it just spruce demand a little bit, we could have the best of both worlds in the consumer and the commercial banking side.
Matthew Breese: I appreciate that. I mean in my career a handful of times you've seen a 4% NIM, usually not for very long. I'm curious if you think you start to see kind of competition erode margins as you, you hover in the 380s there?
Mike Price: I suspect, I think, we're a bank also that I mean we're about 19.5% fee income. Our peers are about 16 and a half our top quartile is probably, 2 percentage points better than that. We really need to get there. I mean, we've come a long way in a decade, but we really need to be a better fee income bank. And we've got to drive that through our regional business model, which we put in place, and we have good product offerings and wealth management, the gain on sale businesses, insurance and other places and we just feel like we can get there and get that fee income up as well over time. And that's just all blood, sweat and tears and what Jane and Mike McEwen are good at and the teams, and that's just execution.
Matthew Breese: Understood. Can you help me out with new loan yields? What are your pricing? Or what is the blended rate on the pipeline? Are you starting to see competition erode margins anywhere if so, to what extent?
Mike Price: Yes. I'll turn it over to Mike McCuen on that. I'd love to hear your response, Mike.
Mike McCuen: I mean the loan yields, as Jim alluded to, are coming in around 7 today. I will say that competitively, it feels like there's more competitive pressure today, as folks are looking to grow loans. So we have seen some slight moves down in margin and bids still pretty healthy overall, but you can anticipate, I think, that as folks are looking more to grow their portfolio is a little more pressure on that yield. But it's still at a somewhat elevated level from where it has historically, we're just watching that closely as we select the right deals and the right clients.
Matthew Breese: Got it, okay. How much SBA exposure do you have on the balance sheet? And are you seeing anything notable credit trend wise there over the last bunch of weeks particularly post tariffs? And then any notable exposures that might be more consumer-oriented, I'm thinking franchises and restaurants and things like that?
Mike McCuen: Yes. I'm going to turn it over to Brian Sohocki for that one. Great question.
Brian Sohocki: And I apologize. Can you just repeat the first part of it, what you referenced a specific industry. And I didn't catch the wording.
Matthew Breese: Yes. I was looking for SBA exposure that's on the balance sheet. Notable credit trends overall and then specifically, if there's exposure to some of the more consumer-oriented categories, and I'm thinking franchises and restaurants.
Brian Sohocki: Sure. No, thank you. Thanks for repeating it. Yes, the SBA portfolio is quite diverse. We do have one individual that focuses on franchise lending. We've had a number of parameters of box built around that business to ensure that its franchises with a broad depth locations and experience. We've built boxes around it to ensure that there's additional liquidity on the balance sheet of the individual as they start that franchise. So we feel pretty good about the business that we have in SBA for franchises. Beyond that, I wouldn't highlight any concentrations retail or otherwise that bring any concern. We sell the predominant share of our business and those that are on the books came via acquisition or as I think Jane highlighted earlier, we do a fair number of business expansion loans and those construction projects stay on the books until they're constructed and occupied. So feeling pretty good about the diversity of the book. Hopefully, that helps.
Mike McCuen: And we have that for SBA footings on the balance sheet. We can probably get that for you by the end of the call.
Matthew Breese: Okay. And then just last one for me, Jim. As the swaps expire what part of the average balance sheet are going to be affected by that? Sorry, from the JV question, but I'm just trying to figure out the average balance sheet with that rolling off.
James Reske: Well, the average balance sheet, the size won't change. I mean, the assets there, the asset stays there. So right now, let's give an example. The one that's expiring tomorrow, counting down the days, $150 million, that is right now, we have received picks, so we're getting the spread. Excuse me. Plus 0.595%. So we see fix. We're receiving 0.595%. The day after tomorrow we'll receive one month. So for we'll get a spread, whatever the spread is, plus one month, So for 4.327%. So that 150 million is still on the books. It'll stay there. It's going to pop up by the difference between 4.327% and 0.595%.
Matthew Breese: Okay. So is that loan yields will be affected by that? Is that what you're saying?
James Reske: Correct. Okay, correct. Loan yield. So, yes, I mean, that one swap alone is enough to add, what, $5.6 million a year in income share [ph] income..
Matthew Breese: That's all I had. Thanks for taking my questions.
James Reske: Yes, thanks.
Operator: [Operator Instructions] And our next question comes from the line of Manuel Navas with D.A. Davidson. Please go ahead.
Manuel Navas: Okay. I appreciate that the peak in kind of some of the credit issues with last year. Could you just kind of speak to the trend in provisioning from here and reserving?
Mike Price: Yes. I'll hand it over to Brian in a minute. We're about 132 reserve. I think about last year, we have about $30 million in charge-offs and $29.1 [ph] million in provisioning. So as you would expect, it kind of matched our charge-offs. In the first quarter is pretty good. Our charge-offs are down, provisioning stayed high a little bit and ideally, over the course of the year, they would match. And we're already in a pretty good position, probably 7 basis points higher than our $10 billion to $100 billion peers on the reserves. So we're in a good position there. And we also feel like some of the acquired loans that we can see the tail, the watch list and everything starting to dissipate. And we didn't really feel a lot from our legacy portfolio or as much over the last few years. Brian, what would you add?
Brian Sohocki: I wouldn't add too much to the reserve outlook. I mean, I'd anticipate it to remain relatively stable. We experienced loan growth in the first quarter both on the funded side and the unfunded construction side will continue to show growth in the reserve based on that, and pending macroeconomic environment, we'll see changes in our kind of qualitative side. But I think Mike covered most of it there.
Manuel Navas: That's helpful. With the -- just shifting topic for a second. With CenterBank closing any kind of updated metrics with that one? I know it adds density to your Cincinnati footprint. Anything to update there? It's already in your guidance, but just maybe more qualitative how it helps with loan growth. And then any further thoughts on the next transaction? Kind of what would you consider going forward, if any of your interests have shifted or just stayed on the same disciplined process.
Mike Price: I would just add on CenterBank, we've gotten some unexpected good talent from that organization. It's already integrated with our regional President there who are in the same space and that's really positive in terms of cohesion and culture. We get several good lenders that will hit the ground running and add to the team. So pretty excited about that. We've also felt like we got to the expense targets that we pretty easily and added some talent, even added some corporate talent to fill open positions throughout First Commonwealth. We're excited about that. I think that we -- and Jim, you'll have to coach me here, memory serves, it's kind of outsized accretive for the side. It was almost like 2.5%, 3% accretive in 2026 for a bank that was pretty small So we're pretty high on it and we also think that market is just ripe for growth, we have a number of our senior executives now that live in Cincinnati and have terrific brands there personally, and I just really believe we could easily over the next few years, rapidly increase our positive loan footings there. And we just already have quality relationships with developers and other businesses. So that's a great place to start out. Regarding M&A, I mean, it's the full gamut. We've done smaller deals. They've tended to do very well for us. And we've been very conservative, as you know, in terms of being pre-pick and almost all of our deals have been strategic and really added to our geography, primarily Ohio, where a decade ago, we hardly had anything. And those markets have been the lion's share of our book over the last 5 years or 6 years -- or last 10 years. So I don't know that our appetite has changed much. I think there might be more conversations in the offing in the last 6 months or so. Jim, what am I missing?
James Reske: Nothing. Nothing to add, Mike.
Jane Grebenc: Hey, Mike, one thing to add with CenterBank. I thought you captured it all beautifully. But the one really nice surprise, we expected all of the good stuff that we're going to get. But the one really nice surprise was the caliber of the mortgage operation. And so we think that will help us deliver the mission in Cincinnati. We think it will help us grow the residential mortgage business as well as the home equity business and consumer businesses generally.
Mike Price: Great comment, Jane. Thank you for that.
Brian Sohocki: Mike, if I might just go back for a moment, the SBA balance is on the book is about $165 million.
Manuel Navas: I appreciate all the commentary. Thanks again.
Operator: And that will conclude our question-and-answer session. I'll turn the call back to Mike Price for any closing comments.
Mike Price: As always, we appreciate your interest in our company. We're excited about the future, growing our C&I businesses in our regions alongside, we feel like are great offerings in CRE, equipment finance, consumer offerings, mortgage. We also are a bank that has a granular depository, lots of households and we're anxious to grow our fee businesses as a percentage of our overall revenue, again, leveraging the regional model and our local teams and the relationships that we already have with clients. We also will be intentional and vigilant about our costs and continuing to perform there as we have in the past. So thank you for your interest and look forward to seeing a number of you over the course of the second quarter.
Operator: That will conclude today's call. Thank you all for joining. You may now...